Derek Dewan: Hello and welcome to the GEE Group Fiscal 2025 First Quarter ended December 31, 2024 Earnings and Update Webcast Conference Call. I’m Derek Dewan, Chairman and Chief Executive Officer of GEE Group. I will be hosting today’s call. Joining me as a co-presenter is Kim Thorpe, our Senior Vice President and Chief Financial Officer. Thank you for joining us today. It is our pleasure to share with you GEE Group’s results for the fiscal first quarter ended December 31, 2024, and provide you with our outlook for the remaining fiscal year 2025 and the foreseeable future. Some comments Kim and I will make may be considered forward looking, including predictions, estimates, expectations and other statements about our future performance. These represent our current judgments of what the future holds and are subject to risks and uncertainties that actual results may differ materially from our forward-looking statements. These risks and uncertainties are described below under the caption, Forward-Looking Statements Safe Harbor and in Thursday’s earnings press release and our most recent Form 10-Q, 10-K and other SEC filings under the captions, Cautionary Statement Regarding Forward Looking Statements and Forward-Looking Statements Safe Harbor. We assume no obligation to update statements made on today’s call. Throughout this presentation, we will refer to the periods being presented as this quarter or he quarter, which refers to the three-month period ended December 31, 2024. Likewise, when we refer to the prior year quarter, we are referring to the comparable prior three-month period ended December 31, 2023. During this presentation, we also will talk about some non-GAAP financial measures. Reconciliations and explanations of the non-GAAP measures we will address today are included in the earnings press release. Our presentation of financial amounts, and related items including growth rates, margins and trend metrics, are rounded, or based upon rounded amounts, for purposes of this call and all amounts, percentages and related items presented are approximations, accordingly. For your convenience, our prepared remarks for today’s call are available in the Investor Center of our website, www.geegroup.com. Now on to today’s prepared remarks. Beginning in the second half of 2023, throughout 2024, and so far in 2025, we have encountered and continue to face very difficult and challenging conditions in the hiring environment for our staffing services. These have stemmed from what is now acknowledged as over hiring that took place in 2021 and 2022, in the immediate aftermath of the pandemic, and the macroeconomic uncertainty, interest rate volatility and inflation that followed. These conditions have produced a near universal cooling effect on U.S. employment, including businesses’ use of contingent labor and the hiring of full-time personnel. Since 2023, many client initiatives, such as IT projects and corporate expansion activities requiring additional labor, in general, have been put on hold. Instead, many of the businesses we serve have implemented and proceeded with layoffs and hiring freezes, and in many cases have focused on retaining their existing employees rather adding new ones. These conditions have continued to negatively impact job orders for both temporary help and direct hire placements. Thus, our financial results for the 2025 fiscal first quarter ended December 31, 2024 have been impacted by these conditions. Consolidated revenues were $26.0 million for the quarter ended December 31, 2024. Gross profits and gross margins were $8.3 million and 31.9%, respectively, for the quarter. Consolidated non- GAAP adjusted EBITDA was negative $300,000 for the quarter. We reported a net loss of $700,000 or $0.01 per diluted share for the quarter. We are taking aggressive actions to improve our financial results. As recently announced, we are taking this opportunity to ramp up our M&A activities and at the same time, streamline our operations. Last fall we eliminated an estimated $3 million in annual SG&A costs and continue to look for cost reduction opportunities on a routine basis and expect to eliminate more expenses. In addition to these near-term initiatives, we are working closely with our front-line leaders in the field across all our verticals to help them continue to aggressively pursue new business as well as opportunities to grow and expand existing client revenues. We are beginning to see some positive results. When an anticipated recovery does occur in the future, I am very confident we are positioned to meet the increased demand from existing customers and win new business. I also am happy to report that we are now well underway formulating and executing on our recently enhanced strategic plans, which include making practical investments to grow both organically and through mergers and acquisitions. At the same time, rest assured that we will always manage our business prudently, maintaining a solid cash position with available attractive financing. On January 3, 2025, we acquired Hornet Staffing Inc. Hornet provides staffing solutions to markets serving large scale, blue chip companies in the information technology, professional and customer service staffing verticals. It has an experienced offshore recruiting team which will be utilized across all GEE Group verticals to gain more efficiency and reduce recruiting costs. We expect the Hornet acquisition to enhance our ability to compete more effectively and anticipate it helping to secure new business from Fortune 1000 and other large users of contingent and outsourced labor. Hornet’s workforce solutions include significant expertise in working with managed service providers, MSP and vendor management systems, VMS. Hornet’s initial post-acquisition results will be reflected in our consolidated financial statements beginning January 3, 2025, the closing date of the transaction and are accretive to earnings. As you also know, we paused share repurchases on December 31, 2023, having repurchased just over 5% of our outstanding shares as of the beginning of the program. Share repurchases always will be considered as an alternative component of our capital allocation strategy, and a bona fide alternative use of excess capital in the future, if and when considered prudent. Before I turn it over to Kim, I want to reassure everyone that we fully intend to successfully manage through the challenges and headwinds outlined previously and restore growth and profitability as quickly as possible. GEE Group has a strong balance sheet with substantial liquidity in the form of cash and borrowing capacity. The Company is well positioned to grow internally and to be acquisitive. We also continue to believe that our stock is undervalued, and especially so, based upon recent trading at levels very near and even slightly below tangible book value, and that there is a good opportunity for upward movement in the share price once we are able to operate again in more normal economic and better labor market conditions. Finally, I once again wish to thank our dedicated employees and associates. They work extremely hard every day to ensure that our clients get the very best service. They are a key factor in our prior achievements and an important driver of our Company’s future success. At this time, I’ll turn the call over to our Senior Vice President and Chief Financial Officer, Kim Thorpe, who will further elaborate on our fiscal 2025 first quarter results. Kim?
Kim Thorpe: Thank you, Derek, and good morning. As Derek reported, consolidated revenues for the quarter were $26 million, down 15% from the comparable prior year quarter. Consolidated contract staffing services revenues for the quarter were $23.5 million, down 15% from the comparable prior year quarter. Professional contract services revenues were $21.5 million for the quarter, which represents 91% of all contract services revenue and 83% of total revenue, and decreased $3.6 million, or 14%, as compared with the prior year quarter. Industrial contract services revenue was $2 million for the quarter, which represents 9% of all contract services revenue and 8% of total revenue, and decreased $500,000 or 20%, as compared with the prior year quarter. Direct hire revenues for the quarter were $2.5 million, down 18% as compared with the prior year quarter. Our top line performance was directly impacted by the difficult economic and labor market conditions facing us and the staffing industry referenced by Derek in his opening remarks. Gross profit for the quarter was $8.3 million, down 15% as compared with the prior year quarter. Consolidated gross margins were 31.9% and 31.8% for the quarter and prior year quarter, respectively. The increase in our consolidated gross margin is mainly attributable to changes in the mix of our contract services businesses favoring higher spread temporary placements and margins. Our gross margin for Professional Contract Services was 25.2% for the quarter, compared with 25.0% for the prior year quarter, an increase of 20 basis points. Our gross margin for Industrial Contract Services was 18.5% for the quarter, compared with 16% for the prior year quarter, an increase of 250 basis points. Again, these increases are mainly due to the focus on higher margin business as previously mentioned. Selling, general and administrative expenses for the quarter were $8.8 million, down 17% as compared with the prior year quarter. The ratios of SG&A-to-revenues were 33.9% for the quarter, compared to 34.6% for the prior year quarter. The improvement in SG&A expenses as a percentage of revenues during the fiscal 2025 first quarter was primarily the result of cost reduction initiatives taken during the prior sequential quarter to decrease fixed SG&A expenses, including fixed personnel-related expenses, occupancy costs, job boards and applicant tracking systems, that are not driven by revenues. We reported a net loss for the quarter of $700,000, or $0.01 per diluted share, as compared with a net loss of $1.6 million, or also approximately $0.01 per diluted share, for the prior year quarter. Our adjusted net loss for the quarter was $600,000, as compared with adjusted net loss of $1 million for the prior year quarter. This reduction in net loss is mainly due to improvement in SG&A expenses, as well as decreases in amortization and depreciation expense. Adjusted net losses in our GAAP financial measure. EBITDA, which is a non-GAAP financial measure, for the quarter was negative $600,000, compared with negative $900,000 for the prior year quarter. Adjusted EBITDA, which also is a non-GAAP financial measure, for the quarter was negative $300,000, as compared with negative $200,000 for the prior year quarter. Our current or working capital ratio as of December 31, 2024 was 4.7-to-1, up from 4.2-to-1 as of December 31, 2023. Our liquidity position as of December 31, 2024 remained very strong with $19.7 million in cash, an undrawn ABL credit facility with availability of $7 million, net working capital of $26 million, and no outstanding debt. Our net book value per share and net tangible book value per share were $0.76 and $0.34, respectively, as of December 31, 2024. Our net book value per share and net tangible book value per share were $0.93 and $0.33, respectively, as of December 31, 2023. The decrease in net book value per share was primarily the result of the non-cash impairment charges taken in the fiscal third quarter ended June 30, 2024. These had no effect on our cash position, tangible assets, net working capital or net tangible book value. In conclusion, while we’re disappointed with our results and remain cautious in our near-term outlook, we also remain optimistic and are preparing for the long term. Our management team and field leadership are experienced in managing through difficult times such as the business disruption attributable to recent COVID pandemic and previous cyclical downturns affecting the labor market. Collectively, we have demonstrated that our Company can generate substantial earnings consistently under more favorable macroeconomic conditions and a more conducive demand environment for the staffing industry overall. Having completed our acquisition of Hornet this quarter, we also intend to continue to pursue other acquisition opportunities, taking advantage of the current environment to develop new platforms for profitable growth. Before I turn it back over to Derek, please note that reconciliations of GEE Group’s non-GAAP financial measures talked about today, with their GAAP counterparts, can be found in supplemental schedules included in our earnings press release. Now, I’ll turn the call back over to Derek.
Derek Dewan: Thank you, Kim. Despite macroeconomic headwinds and staffing industry challenges impacting the demand for our services, we are aggressively managing and preparing our business to mitigate losses, restore profitability and be prepared for an anticipated recovery. What we hope you take away from our earnings press release and our remarks today, and from our strategic announcements, is that we are moving aggressively not only to prepare for a more conducive and growth oriented labor market, but also to restore growth by continuing with the execution on both organic and M&A growth plans and initiatives. We will continue to work hard for the benefit of our shareholders, including consistently evaluating strategic uses of GEE Group’s capital to maximize shareholder returns. We are very pleased with our recent acquisition of Hornet Staffing and the value and opportunities it brings and have identified other acquisition opportunities that we believe can offer additional growth and profitability platforms for us. Now, Kim and I would be happy to answer your questions. Please ask just one question and rejoin the queue with a follow-up, as needed. If there’s time, we’ll come back to you for additional questions. We’ll now go into the question-and-answer session.
Operator: [Operator Instructions]
Kim Thorpe: Derek, we have a question from one of our investors on the call or interested parties. What is the company doing to drive sales and motivate the sales teams in a down cycle such as the one we're in now?
Derek Dewan: That's very important because sales really drive the business and revenue growth. So each of our vertical leaders meets regularly with our management team and the field and they identify targets. They discuss progress made on new customers that talk about penetration and plans to increase business from existing customers. And then the third leg on the stool is the cross selling opportunities amongst the verticals. And there's good communication between each of the vertical leaders like IT and accounting and finance. In addition, we've brought the Hornet team into the fold and there has been collaboration there gaining new business, particularly for the vendor management system and MSP accounts. So we are aggressively pursuing new business, both new customers and from existing customers in a very strategic and organized fashion with regular follow-up. In addition, we've revamped our commission structure and our profit sharing structure in order to motivate our salespeople and recruiters as well who participate in that plan to move into higher production that actually rewards them better percentage wise than if they were had lower production. So we put in incentive compensation plans that we believe are robust and extremely competitive in the industry. Kim, do you want to add anything to that?
Kim Thorpe: No, I mean, I think that covers the main part. We are helping the field based on input that we received from communications with other members of the industry as to where the verticals are, what are the positions that are doing the hiring right now or are being there are job orders for and we're trying to help the field sort through those kind of things. But it's a very intense communication process like Derek mentioned.
Derek Dewan: I want to add that we are going to and in the process of integrating AI agents to target new customers and also to make contact with them to gain new business. In addition, we are exploring and are testing AI recruiting tools to automate more of that process, which would decrease costs and increase time to market a candidate and place a candidate. So those are tools that will aid in revenue growth as well. The next question is, can you comment on the rather unusual trading that occurred upon the announcement of the Hornet acquisition and your understanding of what occurred? When we announced the Hornet acquisition, the trading volume, Kim, do you remember what we hit? Was it 85 million or more?
Kim Thorpe: I thought it was little over 100 million, 195 million and above.
Derek Dewan: Yes. We had 109 million shares outstanding and we traded actually more than the total outstanding shares. I think it was significantly more. So and the price doubled in the process. So the question is, how did that happen and how could that happen? We explored that with the exchanges and the New York Stock Exchange. We had one of our larger shareholders and directors actually had someone explore that as well. And it is possible to print that type of volume with multiple trades back and forth. But it was very, very hard with electronic trading to identify the source of that activity. So we're still looking at it, but I doubt that we'll be able to really put our finger on it. I would call it an aberration for sure. It happened one other time, a couple of years back when we renegotiated our outstanding debt and settled it for less than face. But then Kim, when was that back in 2020?
Kim Thorpe: That was in 2020 and we traded up to 80 something million shares in one day, I believe.
Derek Dewan: Right.
Kim Thorpe: At that time, we had about 18 million shares outstanding.
Derek Dewan: Yes. So it was even more pronounced. But we do watch that. We make inquiry of both the exchange FINRA and otherwise. And then we've had some tracking of it. But I can't explain completely what occurred and who made the trades because it was just hard to get that information at this point. Next question. Could you update us on the use and impact of generative AI on your business, both in your ability to use it internally to benefit operations and also any impact on the competition front and such as customer competitors and so forth. Okay. So I mentioned AI agents in connection with sales targeting of both new and existing customers and contact management. In addition for recruiting, that's another application. Both of these will be installed in our day to day environment, tech environment. It will also be integrated with our applicant tracking systems and to the extent necessary our ERP systems. But we are pursuing it aggressively. I'm a firm believer in the use of AI to not only compete, but to do it to increase speed and to also lower costs. We use ChatGPT now for several things, but those other tools that I mentioned are in beta. And I've tested some personally and I'm bringing it to corporate into the field for further evaluation. And I think by the next quarter, hopefully we can announce what we've done and that we've moved forward aggressively on the implementation phase. So and I've shared knowledge with my peer group at the highest levels and feel very confident of our strategy and where we're going with it. Kim, do you want to add anything since you're involved in that as well?
Kim Thorpe: Yes. I mean, to some extent AI is coming along a lot like the microcomputer did. It's new technology and it's been put out there and really there'll be a lot of individual innovation involved. We've been using it here for a couple of years now. For example, just for one application my department does, we use it to write a lot of regulatory composition and things of that nature, because it not only is fairly accurate, although we have to review it obviously, it also is quick. So it helps us be more productive in those types of things. But it's really being innovated at the grassroots level largely across the business right now.
Derek Dewan: Okay. And then another question is, is everyone in the industry struggling? What are the outperforming companies doing? And I have met with several of the peer group, both large and small and in different verticals. So I'll break it down by size and vertical because I think that's relevant. And then also direct hire versus contract staffing, both of which are impacted slightly differently. Both direct hire and contract staffing have been impacted by stagnant labor markets for staff -- the staffing industry. Within the verticals, IT took a pretty big hit, which historically it's weathered downturns much better than the other verticals. And you've seen a lot of layoffs in the IT space. You see it from Meta, Google, other tech companies, Cisco, you name it. And this is kind of a correction in the over hiring that Kim mentioned in his presentation that occurred post pandemic. We believe that that's leveling off in that space. And accounting and finance has been hit as well. That's another one of our larger verticals, in particular the perm portion or the direct hire portion. If you look at industrial staffing, which we have a little bit of that, that also has been hit, but it's been mixed. And in general, you can make the comment that the whole industry has been impacted. However, the question said, there are some performers that are doing a bit better than others. And I would say that the customer base of that competitor is not as impacted by layoffs, other industry is faring better. There's a pickup in oil and gas going on. We hope to take advantage of that, particularly in the Houston market. The banking sector got hit. We're pretty heavy in there, but we're starting to see a leveling off. And I look at comparative data of both the peer group and then our own data internally to see whether we flattened out, how far down we are, are we moving upward. And there's some volatility week to week. And if you look at what's called the Bullhorn Staffing Index, which is an industry statistic or statistics that are put out weekly, you're starting to see the down portion on a comparative basis is changing downward. Meaning, instead of 12% down in professional staffing and 13% down and everything else, you're starting to see that go into single digits on a week to week basis. So we are mirroring that, but flatness, first you got to find the bottom and we're very hopeful that we found that. And now we're starting to see some upward movement in headcount and billable consultants. And the perm business, which is more, what I want to call lumpy, is still moving in the right direction. So I'll tell you the healthcare segment, something we looked into, nurse staffing in particular got hit hard and I think that bottom has not been reached yet. Allied staffing, which includes speech pathologists, audiologists, physical therapists and other what we call allied health support has done better and is moving upward. So there's pockets of success. Now look at the big companies, you see Adecco, Manpower, Robert Half, Ronstadt and others. There's spotty performance there. Some of their sectors and they're global, so they have foreign operations as well. Clearly, global has been hit. So they've had mixed results overseas and, in the U.S., Some of their verticals are performing a bit better than others, but they're typically down on a comparative basis across the board. And Robert Half, but for its Protiviti consulting unit has been down. I would say too that part of our strategy going forward is to upscale some of our business into more of a consultative nature and move up the food chain with statement of work type projects and so forth. ASGN is a competitor that has IT staffing, but has moved up the food chain, as I call it, with a consultative approach with some of their business units. They do have a heavy federal government business and they're hopeful that they won't be impacted by the cuts that are going on now. But in general, moving up what I call the food chain and having a time and materials consultative practice as part of your vertical, be it, IT or accounting and finance will be the trend for enhanced performance. And one way to get there is through acquisition, as well as trying to build internally, but the faster route would be to acquire in that space. In addition, putting a recurring revenue stream into our business model is something that we're looking forward to doing. So we anticipate moving aggressively on those two fronts. Kim, do you want to add anything to that? Okay. Let's see what the next question is. Kim, do you want to take the next question?
Kim Thorpe: Yes. Derek, I believe, isn't that the last question? I don't -- I'm not showing another question.
Derek Dewan: Well, it's just it's basically talking about industry and competitors, which is the same as the prior question. So we covered it pretty good. But I can tell you, there's cautious optimism in the peer group for a leveling off and upward movement. We're not going to see a hockey stick, but we do feel that we're going to be climbing the steps upward as we move further into 2025. The other thing is we're adjusting our cost structure to the current environment. So we've realized some good benefits from the cuts we've made and reductions in costs, but we will do more. And I think it's a constant evaluation of where best to spend our dollars.
Kim Thorpe: Right.
Derek Dewan: That pretty much concludes our call for today. Thank you for getting on and we'll talk to you next quarter.